Operator: Greetings. Welcome to the voxeljet AG Second Quarter 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the prepared remarks. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would like to hand the call over to Mr. Johannes Pesch, Director of Investor Relations and Business Development. Thank you. You may begin.
Johannes Pesch: Thank you, operator, and good morning, everyone. With me today are Dr. Ingo Ederer, voxeljet's Chief Executive Officer; and Rudolf Franz, voxeljet's Chief Financial Officer. Yesterday, after the market close, voxeljet issued a press release announcing its second quarter financial results for the period ended June 30th, 2023. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company's website at voxeljet.com. During our call, we may make certain forward-looking statements about the company's performance, including expectations and results from our current order backlog. Such forward-looking statements are not guarantees of future performance and therefore, one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. With that I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you, Johannes. Good morning, everyone. Thank you for joining us on our earnings call today. We are very happy with the results for the quarter with revenues coming in well above our guidance corridor. With Jackie Schneider and Jane Arnold, we added two new US based board members with significant experience in our industry. Since the start of this year, BMW Group, who own five of our next generation VJET X printers, has successfully printed more than 10,000 jobs in a fully automated process. That is an excellent result and true milestone for the entire additive manufacturing industry. With GE Renewable energy, we are already discussing the second phase of our project to develop the largest 3D printer ever made for the production of next generation wind turbines. Let's turn to slide four and a brief overview of our company. Our roots reach back to the year 1995 with the first successful dosing of UV resins in the context of a hidden project Initial 3D printing tests were performed at the Technical University of Munich. I Co-Founded the company on May 5th, 1999, as a spin-off from the university with a clear vision in mind to establish a new manufacturing standard. Today, we provide our customers a strategic competitive advantage by upgrading the existing production methods to additive manufacturing solutions. Let's turn to slide five, where we describe our technology. In the additive manufacturing market, there are likely more than 10 different technologies, each with a specialized field of application. We use a technology called binder-jetting. Binder-jetting is especially well suited for high-volume manufacturing because of its potential to scale with our VJET X technology, we are pushing new boundaries. Slide six shows our global sales network and production footprint. As you can see, we have reached an established position in all major markets in Europe, in the US as well as in Asia. Turning to slide seven, where we explain our two business segments as shown on slide eight. In the services segment, we operate our own 3D printers in three facilities around the world to offer affordable on-demand access to our technology. Our business model is very user friendly as customers only need to send in the 3D data and we will print parts for them. That is an efficient and easy way for our customers to understand new business opportunities in 3D printing. Customers come from various industries, including automotive, aerospace, general engineering as well as art and architecture. For example, in the US, one of our largest on-demand printing clients is a supplier to a leading space exploration company. In our Systems segment on slide nine, we manufacture and sell industrial grade, high-speed, large format 3D printing systems geared towards mass production of complex models, molds and direct parts. We differentiate ourselves from our competitors by build size, material, diversity and speed. This leads to a complete set of industrial 3D printers to address the challenges and needs that are most important to our customers. Each model can be used with multiple material sets. Systems revenue also includes recurring revenue from the sale of consumables, maintenance contract, upgrades and other after sales activities. This recurring portion of revenue is growing as the installed base of our 3D printers expands. On slide ten, we summarize the key advantages of combining 3D printing and conventional manufacturing, what we call indirect metal printing. First, you 3D print a mode or pattern and then cast it in metal. Key advantages include high economies of scale, no need for certification, no limitation regarding the size of the part and the LOUs. While direct metal printing has its applications, it's not suitable for high volume production because of very limited economies of scale. The cost per part in direct metal printing are simply too high compared to the combination of 3D printing and metal casting. Slide 11 presents a comprehensive illustration of the wide range of applications of our technology. Slide 12 highlights recent improvements in the performance of our binder-jetting technology. It all started with a tiny printer that I and some colleagues built out almost 30 years ago. It was our goal from the beginning to bring 3D printing into high volume production. And today, with the massive partners like BMW, GE Renewable Energy and others, we are doing exactly this. On slide 13, we summarize illustrative case studies showcasing how we add value for clients across several different industries. Let's start with the formal part of the presentation. I will begin with an overview of the results for the second quarter. Rudi will then provide a more in-depth view of our financials for the second quarter 2023 and our outlook for the rest of the year. Following his comments, we will be happy to take your questions. Turning to slide 15. Total revenue for the second quarter this year came in well above our guidance corridor and increased 2% to EUR6.8 million from EUR6.7 million in the second quarter last year. This is a new record in revenue for second quarter in combination with a record high order backlog for second quarter. This makes us very optimistic. Just a few weeks back, we sold our largest printer to our client in Europe, so the business is going quite well. In services, our on-demand 3D printing segment, we saw another very robust quarter with continued high demand for our products. Revenue from our German and Chinese service centers were slightly below the very successful second quarter last year. Our US subsidiary continues to fire on all cylinders and achieved the highest on-demand printing revenue for any quarter in more than three years. In Systems, revenue increased 12% as we sold three new printers in the second quarter 2023 compared to selling two new and one refurbished printer in the second quarter of 2022. The recurring portion of revenue is also growing as the installed base of our 3D printers expands. This includes the sale of consumables, maintenance contracts, upgrades and other aftersales activities. Gross profit from the sale of 3D printers slightly improved. Overall margin for the Systems segment decreased because of lower gross profit contribution from offices. Gross profit margin in the Services segment decreased to 33.3% from 39.7% in the second quarter 2022. This was mainly related to lower gross profits from our German and Chinese service centers. Slide 16 breaks down order backlog by quarter, revenue by geography and operating expenses by category. When looking at revenue by geographic region, we target an even distribution across the three regions to hedge against risk from local events. Order backlog for 3D printers increased 23% from EUR8.3 million at the end of the second quarter last year to EUR10.2 million at the end of this year's second quarter. Let's turn to slide 17. We had a very busy, busy GIFA Show in Dusseldorf, Germany, where we presented some of our latest products. GIFA is the largest show of its kind, takes place every four years and is an important showcasing opportunity for us. Traffic at our booths was excellent throughout the week, probably as good as ever. And we were constantly speaking to new and existing clients. Visitors were very keen to learn about our solutions for real industrial production. And we showed, for the first time, a video of our new VJET X printers in action at the BMW plant in Germany. This brings me to slide 18, where you'll find snapshots of the VJET X setup at BMW, a truly industrial scale production unlike everything anything I have seen from any other players in our industry. Turning to slide 19. We are delighted to welcome Jacky Schneider and Jane Arnold to the voxeljet Supervisory Board. As highly respected business leaders, they each bring valuable experience to further enhance and balance the diverse skills on the board and advance our value creation initiatives. We especially look forward to benefiting from the expertise and network in the additive manufacturing industry as we continue to drive durable top and bottom line growth and build on our own position as a leading provider of solutions for industrial production. Slide 20 summarizes our value proposition. We believe we are well on track on our way towards profitable growth. With that I would now like to turn the call over to Rudi. Rudi?
Rudolf Franz: Thank you, Ingo, and good morning, everyone. We are happy with the results for the quarter with revenue coming in significantly above our guidance corridor. The business is developing well, as you can see from the record high revenue and order backlog for the second quarter. We will now take you through the financials for the second quarter. After that, we are happy to take your questions. Turning to slide 22. Second quarter 2023 revenues increased 2.2% to EUR6.8 million as compared to EUR6.7 million in the same period last year. This is a new record for revenue in the second quarter. Gross profit margin in the quarter slightly decreased to 27.1% and 31.3% in the second quarter last year. Let's break this down. In Systems, gross profit margin from the sale of 3D printers increased. However, gross margin contribution from aftersales, which is part of the Systems segment, was lower as a result of different product mix, leading to a lower margin for the whole segment. In Services, Germany and China contributed lower gross margins as compared to the second quarter of previous year, as a result of slightly lower utilization rate. The next slide show our segment reporting for the quarter. On slide 23, revenues from our Systems segment, which includes revenues from selling 3D printers, consumables and spare parts as well as maintenance, increased 11.5% to EUR4 million for the second quarter this year from EUR 3.6 million for the second quarter last year. We sold three new printers this quarter compared to two new and one refurbishment in the second quarter 2022. We are encouraged by the increase in order backlog for three printers, which reached a new high for second quarter. On slide 24, Service revenues decreased 8.7% to EUR2.8 million in the second quarter 2023 compared to EUR3.1 million in the same quarter last year. Sales gross profit margin decreased to 33.3% in the second quarter of 2023 from 39.7% in the same quarter 2022. Higher profit margin contributed by our 3D US printing center was offset by a slightly lower contribution from the German and Chinese 3D printing center. Looking now to the rest of the financial highlights on slide 22 -- 25. Selling expenses increased to EUR2.1 million in the second quarter of 2023. Most of our selling expenses are personnel expenses and distribution expenses, such as freight and commissions for sales agents. This compares to EUR1.9 million in the second quarter of 2022. The main reason for the increase was expenses related to the one every four years GIFA Show in June, which is the largest trade show for attendance at meeting the GIFA were excellent, making our investments so far. Administrative expenses increased to EUR1.6 million as compared to EUR1.5 million from the second quarter of 2022. Keep in mind, we typically spend more than EUR1 million in auditing fees per year and EUR0.5 million in legal fees. Research and development expenses decreased to EUR1.5 million in the second quarter compared to EUR1.7 million in the same quarter 2022. The decrease was mainly due to lower personnel expenses as well as lower usage of external services. This was partially offset by higher material consumption. R&D expenses can vary from quarter-to-quarter and are usually driven by variations in project types and status. EUR0.4 million of R&D costs were reimbursed through our project partners, primarily GE Renewable Energy and government grants. This is shown in other operating income. Operating loss was EUR2.95 million in the second quarter of 2023 compared to an operating loss of EUR1.96 million in the comparative period in 2022. This change was mainly due to a lower positive net impact from other operating expenses and other operating income, in combination with a slight decrease in gross profit in the second quarter of 2023 compared to the second quarter of 2022. As a result, net loss for the quarter was EUR3.6 million or EUR0.40 per ADS compared to a net loss of EUR1.8 million or EUR0.26 in the prior year same quarter. Shares outstanding as of June 30th, 2023 are 9,134,724 ADRs. We have provided a similar presentation for the six months period ended June 30th, 2023, on slide 26 through 29. Slide 30 shows selected balance sheet items. As of June 30th, 2023, the company's cash, cash equivalent, short-term investments in bond funds of roughly EUR12 million. This includes restricted cash of approximately EUR3 million. I would like to point out that the financial -- that the only financial debt on our balance sheet is the $3 million promise that we note that matures in early 2028. This compares favourable to an encumbered current assets of around EUR31 million. Slide 31 summarizes our financial guidance for full year 2023, which remains unchanged. Revenue for the third quarter of 2023 is expected to be in the range of EUR4.75 million and EUR7 million. This concludes my remarks. And with that, I will now open the call up for your questions, operator. Brian?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question has come from the line of Brian Kinstlinger with Alliance Global Partners. Please proceed with your questions.
Shervin Z: Hey, good morning. This is Shervin on for Brian. Congrats on the nice quarter and thank you for taking my questions.
Ingo Ederer: Good morning.
Shervin Z: It's great to see the continued growth of the backlog. It was understood last quarter that the mix of the backlog was weighted towards the larger, more expensive 3D printers. This quarter's result of three new printers compared sequentially imply a more average makeup. Should we expect new printer sales through the remainder of the year will be made up of mostly larger printers? And also, are lead times steady between three to nine months still?
Ingo Ederer: Yes. To both questions, we can say, yes. Yes. So the trend goes to larger printers and the lead times are now back mainly back to normal. So your numbers are good assumption.
Shervin Z: So then compared to the backlog, the lower end of EUR27.5 million, am I wrong to assume that, that implies that the 12 printer backlog from last quarter wouldn't be completely fulfilled throughout the year?
Rudolf Franz: That assumption is right. Currently, we said we didn't change our given guidance. And we see that midpoint guidance is currently definitely doable as foreseeable. So we're not predicting higher end of guidance because it's still a couple of months before us. And we always see that clients do not or are not able to finish their own facilities, meaning that we can move into the facility and can finish our installment work. So I think the given guidance, 27.5% to 32.5% and assuming that we definitely are above midpoint guidance is a fair assumption.
Shervin Z: That's great to hear. Thank you. Next question. Last quarter, you mentioned that the German Center was operating at full capacity and that voxeljet China was experiencing some residual COVID-related headwinds? Could you provide a little more detail into why services declined sequentially? And if and when revenues will pick up along with utilization, could you maybe detail what the main challenges the segment is facing?
Ingo Ederer: So this is a fair question. So the German entity here is doing quite well. So you need to understand that the second quarter in 2022 was extraordinary good. So definitely at the limit of our capacity. This year's second quarter was still a good quarter. So I would say, we are quite happy with the results, as already mentioned. The current business is doing quite well, probably better than in the second quarter. So the outlook for the remaining portion of the year is as well very good. So I would say for this moment, Germany is really working at least at capacity limits. The Chinese entity, they had, in the beginning of the year, definitely the problems with post-COVID trouble. Now we see that it recovered slightly, but then I would say, after Chinese New Year, we saw also already a little bit of a decline due to the economic crisis, which is starting in China. So this could also hit the business for the remaining portion of the year, but only in Services. Interestingly, the Systems businesses in China is more than robust. I would say it is increasing very well, and we have a good outlook for the year for the Systems sales.
Shervin Z: All right. Thank you so much. That's all I have.
Ingo Ederer: Thank you.
Rudolf Franz: Thank you for your question.
Operator: Thank you. There are no further questions at this time. I would like to hand the floor back over to Dr. Ingo Ederer for closing comments.
Ingo Ederer: Thank you. We have developed a strong and scalable foundation on which to expand our position as a leading provider of 3D printing solutions for industrial clients. Current capacity utilization and order inflow is robust and we believe that this forward momentum will deliver a strong rest of 2023 and beyond. Thank you for joining today's call and we look forward to speaking with you again in our next earnings call, which we expect to take place in November with the results for the third quarter 2023. Thank you very much and have a nice weekend.
Rudolf Franz: Thank you very much. Have a nice weekend.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.